Operator: Greetings, and welcome to the CVR Energy, Inc. First Quarter 2020 Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Jay Finks, Vice President of Finance and Treasurer. Thank you. You may begin.
Jay Finks: Thank you, Michelle. Good afternoon, everyone. We very much appreciate you joining us this afternoon for our CVR Energy first quarter 2012 earnings call. With me today are Dave Lamp, our Chief Executive Officer; Tracy Jackson, our Chief Financial Officer; Dave Landreth, our Chief Commercial Officer, and other members of management. Prior to discussing our 2020 first quarter results, let me remind you, this conference call may contain forward-looking statements as that term is defined under federal securities laws. For this purpose, any statements made during this call that are not statements of historical facts may be deemed to be forward-looking statements. You are cautioned that these statements may be affected by important factors set forth in our filings with the Securities and Exchange Commission and in our latest earnings release. As a result, actual operations or results may differ materially from the results discussed in the forward-looking statements. We undertake no obligation to publicly update any forward-looking statements whether as a result of new information, future events or otherwise, except to the extent required by law. This call also includes various non-GAAP financial measures. The disclosures related to such non-GAAP measures including reconciliation to the most directly comparable GAAP financial measures are included in our 2020 first quarter earnings release that we filed with the SEC and Form 10-Q for the period and will be discussed during the call. With that said, I'll turn the call over to Dave.
Dave Lamp: Thanks, Jay. Good afternoon, everyone, and thank you for joining our earnings call. Hopefully, you had the opportunity to listen to the CVR Partners earnings call earlier today. Yesterday, we reported a first quarter consolidated net loss of $101 million and a loss per share of $0.87. EBITDA for the quarter was a negative $38 million. The combination of a dramatic decline in crude oil prices, lower throughput volumes as a result of the planned Coffeyville turnaround and the collapse in product demand due to the COVID-19 pandemic all severely impacted our results for the quarter. In light of the uncertainties faced in the global economy and the U.S. industry - refining industry, our Board has elected to reduce the first quarter dividend to $0.40 per share. While our balance sheet remains strong and we have sufficient liquidity available, the Board felt it was prudent to preserve cash given the uncertainties around the return on refined product demand in the future of RIN prices. The Board also believes there are higher shareholder return opportunities in the current market environment, including the potential for industry consolidation. This decision relates only to the first quarter dividend at this time, and the Board will continue to evaluate the appropriate level of dividend going forward. The first quarter dividend will be paid on May 26 to stockholders of record as of the close of market, May 18. For our Petroleum segment, the turnaround at Coffeyville began the last week of February and it was completed in April. Wynnewood ran well during the quarter with no meaningful downtime. The combined total throughput for the quarter of - first quarter of 2020 was approximately 157,000 barrels per day as compared to 213,000 barrels per day of the first quarter of 2019. The Group 2-1-1 crack spread averaged $12.21 per barrel in the first quarter of 2020 as compared to $17.26 per barrel in the first quarter of 2019. Domestic crude differentials were tighter in the quarter compared to last year, primarily due to the start-up of new pipelines from West Texas to the Gulf Coast. The Brent/TI differential averaged $5.04 per barrel in the first quarter of 2019 as compared to $8.94 per barrel in the first quarter of 2019. The Midland to Cushing differential was $0.06 per barrel under WTI in the quarter compared to $1.18 per barrel under TI in the first quarter of 2019. The WCS differential was $17.77 per barrel, as compared to $10.51 per barrel in the same period last year. Light product yield for the quarter was 101% on crude oil processed. Our distillate yield as a percentage of total crude oil throughputs was 43% in the first quarter of 2020 compared to 44% in the prior-year period, impacted by a hydrocracker catalyst change out at the Wynnewood Refinery in February. Our distillate yield consistently ranks as one of the highest among the U.S. refiners. In total, we gathered approximately 136,000 barrels per day of crude oil during the first quarter of 2020 as compared to 120,000 barrels per day for the same period last year. With the recent collapse in crude oil prices, U.S. production is declining. As a result, our gathering volumes have fallen and will likely continue to fall in the near term. However, given our location of our refineries and our access to crude oils from Cushing in West Texas, we have a variety of economic options to supply our system. In the Fertilizer segment, third-party outages at the Coffeyville fertilizer plant led to 10 days of unplanned downtime during the quarter, resulting in utilization of the ammonia unit at 86% for the quarter as compared to 96% for the first quarter of 2019. At East Dubuque, the ammonia plant operated at a 101% utilization for the quarter as compared to 69% utilization for the prior period. Stable year-over-year of sales volumes and lower natural gas prices resulted in Fertilizer's positive EBITDA contribution to CVR Energy's consolidated financial results. The EBITDA diversification of the Fertilizer segment provides the Company was a clear benefit. Fertilizer segment has been a positive cash flow contributor to our business historically and the near-term outlook is good as we have seen a strong start to the spring fertilizer application and planning season. Given the underperformance of its units recently, the Board of the CVR Partners general partner has authorized a unit repurchase program of up to $10 million. Now let me turn the call over to Tracy, to discuss additional financial highlights.
Tracy Jackson: Thank you, Dave, and good afternoon, everyone. As Dave mentioned, for the first quarter of 2020, we reported a consolidated net loss of $101 million and a loss per diluted share of $0.87. This compares to net income of $102 million and diluted earnings per share of $1 for the first quarter of 2019. Our consolidated results for the first quarter of 2020 include a mark-to-market gain of $30 million and dividends of $1 million related to our investment in Delek. Inventory valuation impacts of $78 million and an inventory write-down of $58 million. Excluding the unrealized gain on Delek and the inventory impacts, our first quarter 2020 loss per diluted share would have been approximately $0.09. The effective tax rate for the first quarter of 2020 was 27% compared to 26% for the prior-year period. We expect that our full-year 2020 effective tax rate will be between 25% and 30%. The Petroleum segment's EBITDA for the first quarter of 2020 was a negative $77 million compared to a positive $209 million in the same period in 2019. The year-over-year EBITDA decline was driven by the dramatic decline in the value of crude oil and refined products, lower throughput volumes as a result of the Coffeyville planned turnaround and lower product demand. Excluding the inventory impacts, our Petroleum segment EBITDA would have been $59 million. In the first quarter of 2020, our Petroleum segment's refining margin excluding inventory impacts of $136 million was $11.06 per total throughput barrel compared to $14.87 in the same quarter of 2019. The decline in crude oil and refined product prices through the quarter generated a negative inventory valuation impact and an inventory write-down of $9.54 per barrel during the first quarter. This compares to a $1.68 per barrel positive impact during the same period last year. The capture rate excluding the inventory valuation impacts and the inventory write-down was 91% in the first quarter of 2020 as compared to 86% in the first quarter of 2019. Derivative gains for the first quarter of 2020 totaled $46 million, which includes unrealized gains of $12 million associated with open commodity derivative instruments and open purchases of Canadian crude oil that are scheduled for future delivery. In the first quarter of 2019, we had total derivative gains of $16 million, which included $7 million of unrealized losses. RINs expense in the first quarter of 2020 was $19 million compared to $13 million in the same period last year. The year-over-year increase in RINs expense was primarily driven by an increase in ethanol RIN prices, offset somewhat by lower biodiesel RIN prices and a lower RVO due to the Coffeyville turnaround. Based on recent market prices of RINs and the current production plan, we now estimate that our RINs expense will be approximately $65 million to $75 million in 2020. The Petroleum segment's direct operating expenses were $5.87 per barrel of total throughput in the first quarter of 2020 as compared to $4.74 per barrel in the prior-year period. On a per-barrel basis, direct operating expenses were higher due to lower throughput volumes in the quarter as a result of the planned turnaround at Coffeyville. Total direct operating expenses for the first quarter of 2020 declined by approximately $7 million from the prior-year period, primarily due to the lower utility expenses. For the first quarter of 2020, the Fertilizer segment reported an operating loss of $5 million and a net loss of $21 million or $0.18 per common unit. This is compared to first quarter 2019 operating income of $9 million and a net loss of $6 million or $0.05 per common unit. EBITDA was $11 million in the first quarter of 2020 compared to $26 million for the prior-year period. The year-over-year decline in EBITDA was primarily due to lower prices for ammonia and UAN. CVR Partners did not generate cash available for distribution in the first quarter of 2020. Total consolidated capital spending for the first quarter of 2020 was $48 million, which included $40 million from the Petroleum segment and $6 million from the Fertilizer segment. Of this total, environmental and maintenance capital spending comprised $43 million, including $37 million in the Petroleum segment and $4 million in the Fertilizer segment. We estimate total consolidated capital spending for 2020 to be approximately $95 million to $105 million, of which approximately $80 million to $90 million is environmental and maintenance capital. This excludes planned turnaround spending, which we estimate will be approximately $140 million to $150 million for the year. Our capital spending for the year is focused only on projects that are critical to safe and reliable operations or a critical path for future required work. Cash flow from operations for the first quarter of 2020 was a use of $58 million and free cash flow in the quarter, which we define as cash flow from operating activities less capital and turnaround expenditures was a use of $115 million. Turning to the balance sheet, we completed a $1 billion senior unsecured notes offering in January, allowing us to refinance $500 million of CVR Refining's senior unsecured notes and adding approximately $500 million of cash to the balance sheet. At March 31, our debt to EBITDA at the CVR level was approximately two times, excluding CVR Partners standalone debt and EBITDA. On a trailing 12-month basis, our net debt to EBITDA was approximately 0.6 times. We ended the quarter with a strong cash balance of approximately $805 million on a consolidated basis, which includes $58 million in the Fertilizer segment. As of March 31st, excluding CVR Partners, we had approximately $892 million of liquidity, which was comprised of $747 million of cash, securities available for sale of $140 million and availability under the ABL of $392 million less cash included in the borrowing base of $387 million. We continue to feel confident in our strong balance sheet and liquidity position. Looking ahead for our Petroleum segment, we estimate total throughput for the second quarter of 2020 to be approximately 130,000 to 150,000 barrels per day. This estimate is dependent on Group 3 product demand. We will modify runs based on the economics in Magellan inventory levels. We expect total direct operating expenses for the second quarter to be approximately $75 million to $85 million and total capital spending to range between $30 million and $40 million. Turnaround spending is expected to range between $20 million and $25 million for the Fertilizer segment. We estimate our ammonia utilization rate to be between 95% and 100%. We expect direct operating expenses to be approximately $35 million to $40 million, excluding inventory impacts and total capital spending to be between $6 million and $10 million. With that Dave, I'll turn the call back to you.
Dave Lamp: Thanks Tracy. The first quarter of 2020 presented challenges to our industry that have never been seen before. And we are doing everything we can to manage the business through this difficult environment. The market is in complete disarray and the horizon over which we see a recovery of refined product demand is unknown. Our focus continues to be operating in a safe, reliable manner, controlling our costs and maintaining a strong balance sheet and liquidity position, so we can be positioned to take advantage of the eventual market recovery. To that end, we have taken a number of steps to preserve cash and the available - and maintained adequate liquidity. As I mentioned earlier, the Board had elected to reduce the first quarter dividend to $0.40 per share or $1.60 per share on an annualized basis. Capital projects that are not critical to safe, reliable operations or are required for future work will be canceled or deferred to a later date. This includes deferral of the Wynnewood isom project and the Coffeyville crude optionality project. We are operating our refineries near crude throughput minimums in order to preserve optionality as we wait for the return of demand. We are targeting $50 million reduction in operational and SG&A expenses across our facilities in corporate office. We are deferring planned turnaround at Wynnewood Refinery from the spring of '21 to the fall of '21. In addition, CVR Partners is pushing the planned turnaround of Coffeyville facility from the fall of '20 to the summer of '21. The East Dubuque planned turnaround for the fall of '21 is also being moved to the second half of '22. Despite current challenges, we also believe this market will present some unique opportunities as evident by our recent filing disclosing the purchase of 14.9% interest in Delek US Holdings. At this time, we do not have any new - anything new to report on this front. And we believe there are a number of directions this opportunity could ultimately go. So far this has been an attractive investment for CVI. Looking at the second quarter of 2020, quarter-to-date metrics are as follows. Group 3 2-1-1 cracks have averaged $10.51 per barrel with the Brent TI spread at $9.52 per barrel and the Midland to Cushing differential at $0.18 per barrel over WTI. The WTL differential has averaged $1.38 under the Cushing price. The WCS differential has averaged $12.09 per barrel under WTI. Product Group 3 2-1-1 cracks were at $8.48 per barrel yesterday. Brent TI was at $5.73 per barrel and WCS was $4.70 under TI. In the near term, we are bearish on crude oil prices. Refined products' prices will be dictated by the return of demand as the country reopens and consumption of transportation fuels rebound. In our markets, gasoline demand was hit the hardest, and was down over 30% at the trough, while diesel was relatively unchanged. The refining industry including CVI has responded to the lost demand through reducing crude oil runs and in some cases idling refineries entirely. The run cuts have balanced gasoline supply-demand but diesel remains problematic mainly due to jet fuel length. Since the market low points, we have seen gasoline demand in our markets recover about 10%. Current economics are supportive of us continue to run both refineries but at reduced rates. Quarter-to-date ethanol RINs have averaged $0.35 and biodiesel RINs have averaged $0.52. The recent decision by the Tenth Circuit of Appeals - Court of Appeals not to re-hear the panel's decision on vacating three small refinery exemptions was disappointing. We continue to believe that Tenth Circuit got it all wrong. The next step is to seek review of this ruling by the Supreme Court. And we believe small refineries across the United States will likely support such a review in some fashion. At this point, we do not know if or how the ruling will affect previously issued small refinery exemptions. We do expect EPA to wait for all appeals to be exhausted before they adjust the RFS rules to comply with the Tenth Circuit ruling. We continue to believe the ruling conflicts with the regulations as intended by Congress, previous rulings by the Tenth Circuit, as well as other circuits and sets national policy, which exceeds the Tenth Circuit authority - Tenth Circuit's Authority. As we continue to explore ways to reduce or offset our RIN exposure, we are looking at utilizing excess hydrogen capacity of both refineries and converting selected existing desulfurization units to renewable diesel production. We are still in the early phases of this project but look forward to providing additional details as we have further along. With that, operator, we're ready for questions.
Operator: [Operator Instructions] Our first question comes from the line of Prashant Rao with Citigroup. Please proceed with your question.
Unidentified Analyst: This is Joe on behalf of Prashant. Dave, you've previously talked about the other assets that are being marketed for sales, Rockies, PADD IV et cetera. Since then, we are even seeing some of the - some part of Gulf Coast assets being put up for sale. I want to know your thoughts on the opportunity set today. Is the current market making expansion into the Gulf Coast, the possibility as well? And if the opportunity is right, what would it take for the opportunity to be right in terms of the assets features, capacity, logistics, capabilities, et cetera? And if it's not in the Gulf Coast, what about other parts of the Mid-Con? Thank you.
Dave Lamp: Sure. We previously stated before, the main area that we were - we had the most interested in - interest in just considering our portfolio is mainly concentrated in the Mid-Con. There's a PADD IV type refinery or something of that nature. Our portfolio has really built around - more around niche markets. Gulf Coast is if you don't have a large volume capacity with a very low operating cost, with a lot of crude optionality, you really don't have much of a future. So that's not an area where we're really targeting. There are - as I mentioned earlier, there is consolidation place here that we think makes sense. This industry is if you're not big enough and have enough scale, it's going to be very difficult to compete in the future going forward. And we still think those opportunities are smart for all counterparties including ourselves. That said, our focus is more on PADD IV, and we are evaluating several opportunities there all which have probably been delayed by the corona 19 virus, but more to come in the future.
Unidentified Analyst: Thank you. And for the CapEx on potential returns enhancing projects that you have mentioned for the next few years, is it fair to discount this a bit more in the current environment? And given changes to your strategic priorities, which now look like you're leaning more towards the M&A?
Dave Lamp: Yes. I wouldn't say we're discouraged on those projects. We still think they are good projects. They're just - that today's market uncertainty, it's very difficult to see a path forward until things return, what I would call to the more of the norm - whatever the norm may be in the future. And that's the reason we probably delay some of them. We just want to see what the market signals are as the world recovers from this pandemic. And it's really hard to - they are just unknowable right now. So until we get some clarity on that, we'll delay that. The one I did mention that we are pursuing is renewable diesel, which many of our peers are doing. We think that has a lot of potential, even though it is completely dependent on government mandates and taxpayer credits, which we tend to shy away from in general. But the fact of the matter is we have existing assets and excess hydrogen that anybody building one of the grassroots or a greenfield would have five-fold the capital cost we'd have to convert some of ours. So we think we should be first in the line there as compared to others.
Operator: Our next question comes from the line of Manav Gupta with Credit Suisse. Please proceed with your question.
Manav Gupta: So on your income statement, we see $31 million gain from an investment that you made in Delek. I think it was $140 million investment which was made and in a single quarter, you recognized a gain of about $31 million, so that's [2%] return in a single quarter, which is an excellent gain. I'm just trying to understand is the thought process here to monetize that gain? Or this is more in terms of what you talked about industry consolidation like which - how should we think about this investment you have made in Delek?
Dave Lamp: Well, as we said in the prepared remarks, there's lots of opportunities, lots of different directions this could go. We're not prepared to discuss what those are, but consolidation is something that's really important in this industry to get the scale and the niche - an additional critical mass to be able to compete in the future. So I think anything is an option here and we will be pursuing all of them.
Manav Gupta: So that - I mean that do you do see some form of synergies and stuff if you and Delek do eventually decide to come together? Is that the right way to think about it?
Dave Lamp: Certainly, there are synergies, two public companies going to one leads to some synergies. There is some overlap, not very much in our markets, but not - there is going to be something there, I'm sure, in our operations and how we market our product and how they market the product. But it's too early to say.
Manav Gupta: And then just one follow-up. You kind of mentioned that the dividend has been lowered, but that's a quarter if you continuously reviewing it. So I'm just trying to understand, let's say, demand does improve in one or two quarters and for some reason, these strategic alternatives don't work out, is there a possibility that the dividend rebounds right back to $0.80 very quickly?
Dave Lamp: One thing - one comment I'd make and maybe Tracy has some other comments here. But at 22% yield or what we were earlier, this - in the first quarter, I don't think the market really rewards you much for that. So that's one element of it. The other side is, we really truly believe there is a lot of other opportunities out there that cash on the balance sheet could be pretty valuable for. So the Board is considering all of those factors. Yes, I think if the business returns to what it historically has been, I think you would see that dividend come back quickly because we generated a lot of cash flow.
Operator: Our next question comes from the line of Paul Chang with Scotiabank. Please proceed with your question.
Paul Chang: Dave, I know that is probably difficult to answer, but is there a timeline you can share related to what decision that you're going to make about DK?
Dave Lamp: No, yes, I don't think I can give you any color on that at all, Paul, it's unknown at this time.
Paul Chang: Okay. And that given, say, I think a month ago, everyone concerned about too much gasoline, everyone concerned about too much stiffness. What's your flexibility for you to reduce the business yield? And how're you going to do that?
Dave Lamp: Well, typical refiner and we're no different can swing about 10% to 15% between gas and diesel.
Paul Chang: Yes. But the problem is that, if we do that, then gasoline become a problem again.
Dave Lamp: That's exactly right. And that's the dilemma. I think that's where the trend is going to be here for the distillate crack to be lower as a result of all the jet fuel that has to be dumped in diesel and that isn't going to change until airline starts flying again.
Paul Chang: Is there any possibility in say pushing it back to the gasoline pool? Is there any other areas that you can sense some of the business into the other part outside gasoline?
Dave Lamp: Well, we do make some solvents that do go to paint industry and a few others that come out of that same cut of jet fuel. But that's such a small volume, it's not going to impact that much. I just - there aren't many options, Paul.
Paul Chang: So realistically, that we have stock until the demand really come back over on the jet fuel and the gasoline?
Dave Lamp: That's right.
Paul Chang: Okay. And just curious that, you're talking about there's another opportunity that depends on you can use your cash. For the right opportunity, how much you're willing to push your balance sheet? How far you're willing to push?
Dave Lamp: Tracy, you have any fill for that?
Tracy Jackson: I think it's too early for us to say.
Dave Lamp: Yes. It depends on the opportunity so much, Paul. It's hard to be generic in the discussion because you're going to do anything off of a pro forma earning sheet anyway. And it's just so dependent on what kind of deal you get - you end up with.
Paul Chang: No. I guess my question is more direct. I mean how far that you would feel comfortable? Or at what point of balance sheet, no matter how good is the deal that you will just not feel comfortable?
Dave Lamp: Well, I don't think we're any different than any other refiner. 1.5 is kind of where we don't want to go any higher, and that's typically 30% of your - of the enterprise value.
Tracy Jackson: Yes. We've said that two times debt to EBITDA would be as high as we really would want to go in a normal cycle. In addition, we have historically talked about our minimum cash balance, which in the current market environment, probably comes down quite a bit given the crude pricing has dropped more than half of where it was when we established that minimum cash balance. So we wouldn't want to be below our minimum cash balance. We wouldn't want to be in a position where we were highly levered above that two times for an extended period of time without an ability or a path forward to get back to that. So beyond that, we really can't comment.
Paul Chang: Tracy, can you remind me what is the minimum cash balance?
Tracy Jackson: When we talked about it, we told everyone it was $225 million to $250 million. And I think we've recently re-ran it and said it was between $150 million and $175 million.
Dave Lamp: The difference is $50 crude versus $20.
Tracy Jackson: Right.
Paul Chang: Okay. And the final one on debt. At some point that we - COVID is going to be behind us, and - but after this event when we fast forward into the future, after this process, does this event in any shape or form data when you look at your business, whether using capital allocation, the project, FIC criteria on your balance sheet leverage. Is there in any shape or form that change your view on those parameters? Or that you see that this is such a black swan event that doesn't really change your view about the future?
Dave Lamp: Well, I don't think it changes a lot of the view of the future, Paul. But it does make it all that much more important for consolidation to occur in the industry. I think that's the trend that's there anyway. I talked about this renewable diesel. What's driving that is the low carbon fuel standard that California and Oregon have embraced. I think most of the industry out there feel that that is probably going to overtake the United States at some point and be the norm in some form or fashion. It may not come in that way, but what that tends to mean is drifting away from the fossil fuel molecule. So anything you do, if you don't have scale and you don't have multiple sources of EBITDA from - with different drivers, it's going to be difficult to compete in this business. And that's why it's so important to consolidate and to build that diversified EBITDA portfolio that allows you to manage through the demand destruction that ultimately comes through with a low carbon fuel standard.
Paul Chang: My final question then - that's it from me then. If in the event that you do not find the right [indiscernible] or that you could not get other people to convince to agree that necessarily to you, will you yourself be willing to be a potential target?
Dave Lamp: We always have been and always stated that we either consolidate or be a consolidatee. And I think there is value to another company to have us or for us to consolidate up, so that can go either way.
Paul Chang: Okay. Thank you.
Dave Lamp: You're welcome.
Operator: Our next question comes from the line of Matthew Blair with Tudor, Pickering, Holt & Company. Please proceed with your question.
Matthew Blair: Hey, good morning, Dave and Tracy, glad to hear you guys are safe and sound here. I had a question on the Q2 utilization guidance. I think it's showing midpoint below 65% utilization, which seems pretty low. But of course, you had the Coffeyville turnaround in April. So I guess what kind of impact did that turnaround have on the full quarter? And maybe another way to ask this is, what kind of utilization will you be running at in May and June?
Dave Lamp: Well, our guidance is - and you're right, is mostly impacted by the fact that the Coffeyville was down for most of the month of April. And then you take that, put that zero in there and it makes your utilization come down a lot. But even that said, with our demand only improving by about 10% here just lately, and when I say demand, I'm looking at the Magellan racks specifically. If you want to look at those numbers up, I think it's a public number, you can find. The gasoline demand has improved about 10% in the last week, and we - we'll tend to go with wherever that number goes. And that - and usually the cracks will respond. If we get too far ahead of that, the cracks are going to go down. If we get - we go up with it, it will tend to at least stay there or to be higher. So that's kind of where it ends up. And what we gave is guidance is not knowing it's unknowable at this point, how it's going to recover. So there's really no way we can give anything guidance but except where we are today.
Matthew Blair: Sounds good, makes sense. And then Dave, I was curious on your thoughts on inland crude differentials. So if US crude production starts to decline, in 2016 when this happened, Brent TI averaged about $0.83 a barrel. Future's curve is now closer to $4 a barrel in 2021. So just curious where you stand on this and what your expectations are for Brent TI next year?
Dave Lamp: Well, my answer to that is usually low - the best cure for low prices is low prices, and that - obviously, the world demand for oil is not impaired forever with this pandemic. It's going to come back. To what level, nobody knows. But the fact of the matter is with the energy mix that's out there, oil is still a very - it's 85% of the consumption what the world needs for energy, and I don't think that's going to change. And I don't think $20 crude is sustainable in that environment. It has to come back to something higher. And - so will the share of oil forevermore be dead, no way. It will come back and usually the lower the price goes, the higher it swings the other way. So how long that will take, I don't know, but I don't see the Permian Basin or the Anadarko Basin being shut in anytime soon. And it will recover and it will still be an export market because the refiners aren't tooled to run the volume that they're capable of producing. And that export market means a Brent TI spread to me in any way, shape or form you do it. So the differentials are upside down in every which way right now, but they will come back.
Matthew Blair: Makes sense. And then last question. So CMA contango is showing about a $4.60 benefit to refiners so far in the second quarter. From a modeling perspective, do you capture 100% of this or 80%? Or can you just give us any thoughts on that?
Dave Lamp: Well, and we buy a lot of our barrels on CMA, and part of that equation is the role, and the role is the front-month to the back-month, and that we capture on every barrel we run and anything we store is kind of that moves around because that volume goes up and down. So yes, whatever that role is, if it tended to be captured in our capture rate as normal. And right now, it's down to about a $1.50, so that the role is not nearly what it was before.
Operator: Our next question comes from the line of Neil Mehta with Goldman Sachs. Please proceed with your question.
Neil Mehta: Thanks so much, Dave and team. Hope everybody is doing well. The first question, just want to build back up on the M&A topic and on PADD IV, which as you've indicated that continues to be the sweet spot and certainly there are a number of logical assets that also has some appealing things like retail that you're interested in. From a logistics standpoint, I would imagine with the coronavirus, it is difficult to actually inspect assets to actually advance through deal processes. Can you just talk about sort of the challenges of actually pursuing a potential transaction in PADD IV in the time where it's hard to actually do full due diligence?
Dave Lamp: Yeah. Neil, you kind of summarize that well, there's not a lot you can do right now. It's just everybody hunker down and starting to come out. But a lot of today in the electronic world deal - electronic age, you can do a lot virtually also, so nothing comes to a halt. But it's definitely a slowdown that makes it more difficult to get things - make things happen. But there is still opportunities out there and we continue to look at all of them.
Neil Mehta: And then as it relates to M&A as well, obviously, your sponsor and your largest donor has the ability to provide support when it comes to an M&A transaction too, I would imagine. I believe correct me if I'm wrong with the Delek bid, or the Delek initial acquisition of shares, that was done on your balance sheet. But is there - the capacity for the right transaction to have IET get involved as well?
Dave Lamp: Well, it's interesting you called him a donor. I don’t think he consider himself that. He's a shareholder and an important shareholder.
Neil Mehta: Owner, I'm sorry.
Dave Lamp: You said owner not donor. Okay. I think that is one advantage we have is we have somebody that’s very interested in the business and looks for the right opportunity to invest money. So, it's a competitive advantage we have versus everyone else I believe and we plan to use it every way we can.
Neil Mehta: It's probably been the longest since we've talked about RINs on the conference call over the last couple of years. So, I thought I'd bring it up here. And what is your outlook for D6 price in particular and how do you see that impacting your business?
Dave Lamp: Well, the Tenth Circuit ruling is as I think I've said a couple of times is very disappointing for multiple reasons, biggest one being that was not the intent of Congress when they passed us crazy RFS law in the first place. Even as crazy as it was, they were at least smart enough to protect small refiners from certain due. So, I think the problem that we're in right now is what do they do with past RINs that were waved? How do they vacate those or how do they make that right, and how many lawsuits are going to come out of that from the Renewable Fuels Association? And then the second piece is that RINs have nowhere to go but up frankly to levels that you've - that are scared. So, to us, it's a fight for the life of one of our refineries which is important to us. So, we're going to fight as hard as we can in every which direction. We continue to try to mitigate RIN, our RIN exposure which is still way too high. And that’s why we’re looking at renewable diesel and others that you kind of force yourself into capitulating what the - this crazy that mandates, non-economic solutions to the problems that you can argue whether they exist or not. So, that's kind of the bottom line.
Neil Mehta: Okay. And then last question for me is on WCS. You talked a little bit about the inland differential, WCS tend up a lot because of, call it, million barrels a day at Canadian shutdown. How do you see it playing out from here and how does that affect your crude volume?
Dave Lamp: Okay. We don't run much WCS, but we do have pipeline space that we have historically filled and then sold - and resold in Cushing. We are - today, we’re shipping some on there, but mostly we're banking those credits, and we'll continue to do that while the arbs closed. But I think, as far as the macro goes, this is one of those crazy pieces that we’ll cycle through. The world needs the production of Canadian crude. And it's upside down right now, but it always corrects and comes back to where that becomes an economic source for the world when it needs more energy, and that day will come.
Operator: Our next question comes from the line of Matt Vittorioso with Jefferies. Please proceed with your questions.
Matt Vittorioso: I guess just high level on liquidity, a lot of questions around M&A and potentially bringing the dividend back. But just to take a step back, you guys feel good about the liquidity you have today. Maybe you can talk about that in the context of how you see cash flow shaping up over the next couple of quarters. I understand visibility is pretty diminished. But do you anticipate that cash burn will sort of cycle down from here? And again, are you comfortable with the liquidity you have today? Just in the context, we see PBF Energy out there raising another $1 billion of liquidity. I just want to be sure that you guys feel good about where you are today.
Dave Lamp: Well, remember our first quarter was hit and our second quarter will be hit by our Coffeyville turnaround. So, the numbers have looked a little weird right now. But that's our biggest - that's the by far our largest refinery, so it had the biggest impact on our first quarter results. And there’ll be similar impact on the second quarter results. And that was a cash burn for it. And that said, we did pick probably the most ideal time to take a turnaround with one exception, the virus. The opportunity cost was probably reduced by $100 million roughly taking it during this time. Unfortunately, the virus showed up and made it more difficult to complete the turnaround, but we often got through it. But it was an ideal time to take it because the opportunity cost was as little as possible. I think just it's encouraging to see demand come up another 10% here in the last week. I think Oklahoma is opening up, which is one of our core markets. Kansas is thinking about it. Texas is well on its way. Missouri, all the states we serve are coming out of their shell. So, I expect to see demand continue to increase with the exception of jet fuel. And that should bode well for our cash burn or cash generation going forward.
Matt Vittorioso: Okay. I mean you guys - again, I’m sure it’s hard to budget in this environment but right now you feel good about the liquidity.
Dave Lamp: Yes. We’re in pretty good shape. Again, we really didn't have to cut the dividend but we're not getting any credit for it in the stock market and we see other opportunities returning to shareholder - returning cash to shareholders that could be 2x, 3x that. So, we think that's the right move to take.
Matt Vittorioso: Okay. And then I guess just one big picture question again on sort of how you guys source and the cost advantage you've had from your own gathering system and picking out cheap shale crude in the past. I mean just given the struggle that some of those E&P - some of those producers you're going to have given the current environment, I mean do you see any of your significant suppliers going away or just generally how do you see that impacting the way you source crude going forward if some of these guys just don't make it?
Dave Lamp: Yes. I think what's happened so far is most of them have just bought it in and said we're going to keep it in the ground, wait for prices to improve. And even in the last week, we've seen some of that come back a little bit. So, I think as prices drift up, I don’t know if they’ll continue to drift up or will have another hammer down because there's a lot of inventory out there, floating inventory everywhere that's got to be worked off. So, I think most of them will manage to get to a cash return. If they can't make money, they're going to leave that block then. But we didn’t quote any numbers on where we've seen production but we were gathering 130,000 barrels a day plus. We're down to probably 30,000 barrels a day total right now. That’s how dramatic it’s been. But we do have - we have other supply lines and there’s a lot of people getting worried about Cushing filling up. They're starting to worry the other direction now, Cushing is going to drain. And I think that's going to ultimately mean some differentials have to change again to force that to change. But it's going to be messy here for another - probably the rest of the year till things come back to equilibrium.
Operator: Thank you. We have reached the end of our question-and-answer session. I’d like to turn the call back over to management for any closing remarks.
Dave Lamp: Again, I'd like to thank you all for your interest in CVR Energy. Additionally, I'd like to thank all our employees for their hard work and commitment towards safe, reliable and environmentally responsible operations. I would like to point out that our - both of our refineries were recognized by our trade group, the AFPM, for their 2019 safety performance. Both refineries had no lost time accidents at all in 2019, and our Coffeyville refinery had no recordable incidents for the entire year and we really appreciate their hard work in making that happen. With that, we look forward to reviewing our second quarter results during our next earnings call. Thank you.
Operator: Thank you. This concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.